Operator: Good afternoon, everyone. And welcome to indie Semiconductor’s Third Quarter 2021 Earnings Call. This call is being recorded. At this time, I will turn the call over to Pilar Barrigas, Head of Global Corporate Communications for indie. Ms. Barrigas, please go ahead.
Pilar Barrigas: Thank you, operator. Good afternoon, everyone. And welcome to indie Semiconductor’s third quarter 2021 earnings call. Joining me today are Donald McClymont, indie’s Co-Founder and CEO; and Tom Schiller, indie’s CFO and EVP of Strategy. Donald will provide opening remarks and discuss business highlights from the quarter, followed by Tom's review of indie’s third quarter results and fourth quarter outlook. Please note that we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today, and should not be relied upon as representative about views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our risk factors and our recent registration statement on Form S-1 and our other public reports filed with the SEC. Additionally, the results and guidance discussed today are based on certain non-GAAP financial measures. For a complete reconciliation to GAAP, please see our Q3 earnings press release, which was issued in advance of this call and can be found on our website at indiesemi.com. With that, I'll turn the call over to Donald.
Donald McClymont: Thanks, Pilar, and welcome everyone. I'm pleased to report our strong quarterly results and discuss the strategic initiatives we have completed in the few short months since our debut as a public company in June of this year. For the third quarter of 2021, indie exceeded both top and bottom line expectations as well as made significant strides towards realizing our vision of becoming the semiconductor and software solutions provider across Autotech. Specifically during the quarter, we outpaced our addressable markets and grew revenue sequentially and year-over-year to a record $12 million. We expanded gross margin in a challenging supply chain environment, doubled down in key strategic product investment areas, exited the quarter with $324 million in cash and virtually no debt and updated our strategic backlog to $2.6 billion, up from $2 billion last year. At a higher level, indie is clearly at the center of several powerful industry mega trends. Automakers are in the early stages of large scale investments in next-generation vehicles that will usher in increased safety features and enhance the user experience towards widespread electrification and autonomy. As a result, semiconductor content per car is anticipated to reach up to $4,000 per vehicle, an 8x increase from the average level today. According to IHS, the global automotive semiconductor market is on pace to reach $36 billion in 2021 and is expected to exceed $62 billion by 2026, growing at a compound annual growth rate of 12%. Meanwhile, indie’s served addressable market represents $19 billion of this time in 2021 and is expected to grow to $40 billion over the same timeframe or about 15% per year. In particular, sales of Advanced Driver Assistance Systems are expected to rapidly cascade down from flagship models today to entry-level vehicles as park-assist, early warning systems and collision avoidance functions increasingly become standard features as mandated by regulatory agencies. Additionally, wireless charging, ambient lighting, in-cabin connectivity, telematics and data integration products, spaces where indie is already active are seeing strengthening demand. All of these factors will drive dramatic changes to vehicles electronic architectures going forward. The future of electrification and autonomous vehicles are expected to create enormous opportunities for the automotive semiconductor industry and indie in particular, as these applications require the latest in highly integrated mixed signal semiconductors and embedded software. Today, indie’s advanced technologies are directly answering intensifying market needs for a step function increase in electronic performance and integration required by our customers. Our third quarter outperformance demonstrates how we are in the early innings of capitalizing on this opportunity. Further to that end, during Q3, we ramped production of ultrasound devices for ADAS and park-assist systems, captured next generation sockets with a global automotive connectivity and power delivery leader, secured advanced lighting designs with a premier provider of electric vehicles and expanded our footprint at the German automotive supplier for user experience applications. At the same time, we are strategically adding innovative design teams and capabilities to augment our technical breadth, accelerate indie’s product roadmaps, extend our market reach and substantially bolster our IP portfolio. First, we executed a purchase agreement and subsequently closed our acquisition of TeraXion, adding complementary LiDAR laser solutions for ADAS on autonomous vehicle applications. Given the critical role LiDAR plays in achieving maximum levels of safety for assisted and self-driving cars, we are excited to leverage TeraXion’s leadership laser technologies that, when optimized together with our SoC solutions, will facilitate order of magnitude improvements in both system performance on cost and in turn position indie to accelerate mass market deployment of LiDAR platforms. Second, we recently announced our intent to acquire Analog Devices’ Symeo radar division. Symeo’s industry-leading sensor technology underpinned by 120 radar related global patents and applications enables real-time position detection and velocity measurement for high precision radar solutions. Upon closing, which we anticipate to be in Q1 2022, this transaction will accelerate our entry into the large and growing automotive radar market, as well as further augment our software and system level expertise in support of ADAS on autonomous vehicle applications. And third, we have acqui-hired a radar design team of highly skilled engineers in Haifa, Israel and Phoenix, Arizona, who bring strong domain and millimeter wave technologies along with 65 radar patents and applications. Bringing together these latter two teams with incredibly strong and complimentary expertise significantly expands our sensor modality capability and confirms our commitment to this market. With the global automotive radar time expected to reach $7.6 billion by 2026. We are thrilled to welcome both design teams. Finally, we announced the formation of the dedicated VisionQ business unit led by proven industry veterans to expand our edge compute and perception enabled vision processing capabilities. This team has already demonstrated extraordinary success in bringing millions of silicon, software and system solutions to the vision processing market over the last two decades. We plan to leverage their experience to create high quality differentiated devices with the best performance at the lowest cost, power and footprint, redefining perception based vision processing. As a result, indie is now even better equipped to capitalize on the Autotech opportunity as we create a one-stop shop for all sensor modalities including LiDAR, radar, ultrasound and vision, while continuing to drive advanced roadmaps of our existing product lines and expanding our geographic design and development footprint to uniquely serve our customer’s needs. I’ll now turn the call over to Tom for discussion of our Q3 results and Q4 outlook.
Tom Schiller: Thanks, Donald. indie delivered strong top and bottom line performance in the third quarter, once again, posting results ahead of analysts’ expectations. Revenue was up 60% year-over-year and 32% sequentially to a record $12.2 million, driven by ramps of our innovative ADAS, user experience and connectivity solutions. Gross profit was $5.2 million translating into a 43% gross margin up 90 basis points from the June quarter. Operating expenses were $16.8 million versus $13.4 million in the prior quarter, as we increased our R&D investments to $12.3 million to accelerate product development. Likewise, we increased our SG&A spending to $4.5 million to expand our marketing capabilities and implement public company infrastructure. Operating loss was $11.5 million versus the analyst consensus estimate for a $14.9 million loss. Interest, other expenses and taxes were near zero, yielding a net loss of $11.6 million and loss per share of $0.09. Turning to the balance sheet. During the quarter, we settled our remaining merger related accrued liabilities and exited Q3 with $324 million in cash and virtually no debt. Now to our Q4 2021 outlook. Given the dynamics Donald outlined, indie is capitalizing on strong global demand for Autotech solutions and set to deliver record fourth quarter revenue. We anticipate sustained top line outperformance with revenue up 50% sequentially and up more than 170% year-over-year. With this guidance, which includes a partial quarter of our recently closed TeraXion acquisition, indie is now approaching a $75 million annualized revenue run rate and is on pace to more than double total revenue in 2021. We further anticipate a 200 basis point gross margin expansion to 45% with approximately $21.5 million in operating expenses for the fourth quarter comprised of $16 million in R&D and $5.5 million of SG&A. As we increase our product development investment in response to pent up customer demand and extend our sales and marketing reach. Accordingly, assuming no other net expense or taxes below the line and approximately 147 million shares outstanding, which includes 7.3 million shares from the TeraXion acquisition plus 5 million earn-out shares given our stock price performance, we expect a net loss of approximately $0.09 per share. Finally, and perhaps most importantly, based on our business momentum and strategic backlog, indie is well positioned to maintain the steep growth trajectory over the coming years, expand gross margin to our 60% target model demonstrate operating leverage, and in turn create long-term shareholder value. On that note, I’ll turn it back to Donald for his closing comments.
Donald McClymont: Thanks, Tom. To summarize, indie is at the forefront of disruptive changes taking place across the Autotech sector. We are taking major steps toward realizing our vision of becoming the leading semiconductor and software level solutions provider for multiple sensor modalities and will continue to make the necessary investments required to best capitalize on the enormous opportunities ahead of us. We’re laser focused on addressing our customer’s needs and creating differentiated platforms, enabling solutions that will help unleash next generation driver assistance systems and ultimately enable true autonomous driving, while simultaneously advancing user interfaces to enhance the in-cabin expedience. In short, our comprehensive, highly integrated and cost-effective architectures are enabling our customers to fulfill the promise of tomorrow’s vehicles today. That concludes our prepared remarks. Operator, let’s open the call for Q&A.
Operator: Thank you. [Operator Instructions] And your first question comes from Craig Ellis with B. Riley. Your line is open. Please go ahead.
Craig Ellis: Yes. Thanks for taking the question and congratulations on the strong performance and output guys. Donald, I wanted to direct the first question to you and it’s really a higher level question regarding the interaction that you’re having with customers after announcing the two acquisitions TeraXion and Symeo. How is that impacting one, the opportunity they see with you and really the breadth of opportunities that you see across your customer base for things in the ADAS realm?
Donald McClymont: Yes. Thanks Craig. The feedback has been overwhelmingly positive in the case of TeraXion, the combination of their laser technologies and our mixed signal SOC technologies, something that’s open the eyes and excited customers who were already excited with what we had beforehand, but now the fact that we’re able to offer more of the bill of materials to them and more of a sort of one-stop shop type environment. I mean, the velocity of the engagements has simply increased. With Symeo and the addition of the additional RF microwave designers, certainly that opens kind of Greenfield market for us where as we mentioned in the remarks, it’s an extremely large market. It’s extremely hungry for new technologies and new entrance at this point. So yes, we’re really excited and I believe our customers are very excited too.
Craig Ellis: And the press release, I believe, spoke to an expansion in the long-term backlog. Can you talk more about that? Where are you seeing that expansion and what specifically drove that in the quarter?
Donald McClymont: Well actually, I mean, the backlog is a combination of almost a year’s worth of time passing since we last gave an update, which was around time of our announcement of this pack combination. So really it’s a combination of a large amount of work across many design wins, which are fairly evenly spread across our three areas of focus and the ADAS sensing to enable autonomous driving, user experience and indeed in electrification. If I could call out three things which are clear, the lighting win that we talked about in the prepared remarks here is one of the key drivers. The E-vehicle platform design win, which we talked about in last quarter’s earnings and of course, the addition of the TeraXion revenue, which speaks to the LiDAR on the future.
Operator: Thank you. Our next question comes from the line of Ross Seymore with Deutsche Bank. Your line is open. Please go ahead.
Ross Seymore: Hi, guys. I wanted to echo the congratulations. Donald, you guys are doing a great job. You guys are doing a great job not only in executing your business, but also on the M&A front with the deals that you announced, the long list of them. I just wondered from a high level, do you think you have the pieces of the puzzle necessary to really address the vast majority of the TAM you really want to go after, or do you think indie is going to remain pretty acquisitive for the foreseeable future?
Donald McClymont: Well, I mean, we're very happy with the constellation that we have in place right now, and that's more than adequate to execute our plans and then some. I mean, there are many opportunities out there for groups that are interesting. We like to add areas of new technology, which can add new strings to our bow and indeed to augment our ability to address the markets that we're already in. So yes, I think the answer fundamentally, the answer to your question is both.
Ross Seymore: Got it. Well, and my follow up will be another high level question for Donald, I would guess, supply shortages are a big question mark in the auto industry as you guys well know, you guys have been navigating them very successfully by hitting your numbers and guiding strongly, et cetera. But when you look at the supply situation, is it in anyway either directly or indirectly impacting your revenue growth, or are you able to actually navigate it well and take some share where other people are running into bigger problems that you. So generally, how are you seeing that environment? Is it hurting you and do you think it loosens up going forward?
Donald McClymont: Well, first and foremost, as we've shown so far, we've been able to navigate it pretty well. We've met our numbers on a pretty steep growth trajectory in spite of everything. I mean, fundamentally of course, it'd be careless to say that it hadn't limited us because the number of cars sold this year was added on that respect. On the other hand, that means that there's a huge amount of pent up demand, which should basically release once the allocation situation wears off through the course of 2022. So, I mean, people still want to buy cars. I mean, if you go try and buy a car off a lot today, you can't find one. And that will fundamentally change once the allocation situation changes. How we see that going forward. I mean, it's go going to be extremely tight and we're going to need to continue the good management process that we've had recently at least through the next two quarters, maybe into the middle of 2022. I would say the demand for automotive semiconductors won't relent. If anything we will should see strength in that if anything relieves the pressure valve, at least I would demand it would be another area such as consumer, which would in turn then allow a little more space and fabs to be made available for automotive guys like us.
Operator: Thank you. That concludes the Q&A session. I will now turn the call over to Donald McClymont.
Donald McClymont: Well, thanks everybody. Look forward to seeing you with our upcoming investor meetings and see you next quarter.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation and have a wonderful day.